Operator: Thank you for standing by. This is the Chorus Call conference operator. Welcome to the Uranium Resources Second Quarter Financial Results Conference Call. As a reminder, all participants are in a listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. (Operator Instructions) At this time, I would like to turn the conference over to Wendy Yang, Investor Relations for Uranium Resources. Please go ahead.
Wendy Yang: Thank you, Joe. Good morning everyone. Welcome everyone to Uranium Resources second quarter 2014 financial results conference call. I’m Wendy Yang, Investor Relations for Uranium Resources. You will find our Company listed as URRE on the NASDAQ. This call is being webcast on our Web site at uraniumresources.com where we have posted slides to accompany our remarks. Telephonic replay of the call will be available from our Web site for three weeks following today’s call. We will be discussing some forward-looking information today and we caution our audience that such statements involve risks and uncertainties that could cause actual results to differ materially from projections. Please review our Cautionary Statement on Slides 2 and 3 and review the risk factors including some that are specific to our industry described in the latest Annual and Quarterly Financial Reports filed with the U.S. SEC. We also caution U.S. investors that we will be referencing inferred resources for our Juan Tafoya and Seboyeta project. The non-reserve mineralized material for these projects were classified as inferred resources according to Canadian Institute of Mining, Metallurgy and Petroleum Standards. The Technical Report adheres to Canadian National Instrument 43-101 and are available on our website. Investors are cautioned that the requirements and terminology of the Canadian Standards differ significantly from the requirements and terminology of the SEC as set forth in the SEC’s Industry Guide 7. Inferred resources have a great amount of uncertainty as to their existence and whether they can be mined legally or economically. It cannot be assumed that all or any part of the inferred resources will ever be upgraded to a higher resource category. We have a brief presentation before the question-and-answer portion of today’s call. Our presenters are Chris Jones, President, Chief Executive Officer and the Director; and Jeff Vigil, Chief Financial Officer and Vice President of Finance. We also have on the call Mark Pelizza, Senior Vice President of Health, Safety and Environmental Affairs; Ted Wilton, Chief Geologist and Vice President; and Dain McCoig, Vice President of South Texas Operations. Chris, please go head.
Chris Jones: Thanks, Wendy. Welcome and thank you all for joining us today. On Slide 4, we described the building blocks for the new Uranium Resources. We continued to optimize our business and our project pipeline in 2014. We are ready to fast track resumption of production at our two licensed South Texas plants, Kingsville and Rosita, when we see a sustained improvement in the Uranium. In Mexico we have significant in place mineralized resources with the majority on deeded mineral rights in the prolific Grants Mineral Belt. Other in place asset is our extensive Uranium database covering more than three decades of exploration and drilling for the Western United States. We will build our future on our past as a 37 year old U.S. uranium company with assets in Texas and New Mexico and expect that we will become a leading ISR producer again. This is a new chapter. In the past 15 months, we have built the right staff, management and board for Uranium Resources to advance to the next level. In June after our annual meeting of stockholders our board elected Terence Cryan as our new Chairman taking over this role from Paul Willmott, who continues as a Director with 19 years of dedicated service as Chairman or Chief Executive of the Company. Leadership is critical in identifying opportunities and balancing near and long term priorities during this protracted weakness in uranium prices. Leadership meant we set a tough enforce last year in shaping up our company financially, operationally and administratively with our continued optimization drive in 2014. Our Company is more efficient today. And we see that our second quarter financial results with an improved balance sheet and working capital. Our shareholders elected our entire slate of six directors, including myself, to serve till next year’s annual meeting of stockholders. I am working closely with our new Chairman Terence Cryan who comes from a strong financial markets background as a private equity advisor and former investment banker with Bear Stearns and Paine Webber. As a result of having served as our Interim CEO prior to my appointment in April 2013, Terence has an even greater understanding of the strengths and challenges of our Company. He, along with our Board and management, are fully committed to further enhancing the efficiency of our Company, lowering our costs, adding value to our assets as well as scouting for potential value accretive opportunities or additions of quality resources and asset acquisitions. On behalf of our Company, we thank Paul Willmott for his long leadership of the Board and he serves as a valuable asset to the Board with his wealth of industry knowledge going back to his management role a Union Carbide in 1970s. We believe we have a Board with well-rounded skillsets to build value for shareholders. Moving on to Slide 7, our optimization drive is bearing fruit. We continue to reduce our cash burn rate with a 35% decrease in operating and mineral property expenses and a 30% improvement in the net cash used in operating activities in the second quarter of 2014. As we mentioned in our call last quarter, we drew the final $3 million for a total $8 million outstanding on our convertible loan facility with our largest shareholder Resource Capital Funds and cancelled the remainder of the $15 million facility. Our second quarter working capital was approximately $8.7 million with current cash of approximately $9 million, which will sufficiently fund our Company into 2015. We completed two Technical Report s adhering to the format of the industry standard of Canadian national instrument 43-101 for Juan Tafoya project in June and the Seboyeta project in April. They represent combined in place inferred resources of 9.8 million tons at an average grade of 0.16% or 31 million pounds of uranium. There is distinct potential in the development of these projects for the long term as the projects are only 15 miles apart by road. Onto Slide 8, our Juan Tafoya project lies on 4,200 acres of leased privately owned mineral and surface rights, approximately 45 miles northwest of Albuquerque in West Central, New Mexico. As described in the Technical Report for the Juan Tafoya project, there are two deposits, Marquez and Southeast with in placed in third resources of 4.2 million tons at an average grade of 0.15% containing 12.2 million pounds of uranium. The Technical Report stated this was a project of merit and recommended following up with infill drilling to upgrade the resource. We will make an assessment of any follow-up work for Juan Tafoya at year end 2014. Juan Tafoya project is located 15 miles northeast of our Seboyeta project. It is still early days for the two projects. They are at the eastern end of the prolific Grants Mineral Belt which is one of the largest known concentrations of sandstone-hosted uranium deposits in the world and has been the largest source of uranium production in the United States. Let’s turn to slide eight on Seboyeta. The Seboyeta project covers approximately 6,700 acres of mineral and surface rights on leased private lands and is located approximately 45 miles west of Albuquerque. The Seboyeta project has in place inferred resources of 5.6 million tons and an average grade of 0.17% for 18.9 million pounds of uranium. The Seboyeta project has several historic uranium deposits including the St. Anthony group of mines which operated until the late 1970s and the L-Bar project which produced from 1976 through 1981. The L-Bar operation is credited with production of 1.9 million pounds of uranium and the St. Anthony mines produced approximately 1.1 million pounds of uranium. The Seboyeta Technical Report recommended going forward with confirmation drilling to potentially upgrade a significant portion of the mineralized material to the Indicated Resources category. Another recommendation in the Technical Report was to drill and develop an initial resource model and estimate for the historic St. Anthony mine area. The drilling, modeling and initial metallurgical and geotechnical study would enable a preliminary economic assessment to be prepared. With that I’ll turn this over to Jeff for the quarter’s financial review.
Jeff Vigil: Chris, thank you. Good morning everyone. In slide nine entitled our capital structure, our share price on Thursday close at $2.65, which was 20% higher than the 52 week low and 35% below the 52 week high. Later on slide 11, the last row on that table shows that uranium average spot price declined 27% in the $40 level in the second quarter 2013 to under 30 in the past quarter. The current total shares outstanding is 24.8 million. Turning to the financial summary on page 10, we remain focused on efficiently managing our business to be in the best position to generate cash flow when there is a sustained rebound in uranium prices. We continue to realize cost savings from reduced operating and mineral holding cost, legal fees and other G&A and overheads. On April 30th, our Company and RCF amended a convertible loan agreement to reduce the second tranche to $3 million. We cancelled the third and final tranche of 5 million. After the second quarter ended in July 2014, we utilized the after-market sales agreement for net proceeds of approximately $181,000. We are confident that we are on track to achieve our cash burn rate target of under $1 million per month in 2014. Net cash used in operations was a negative 3 million but 1.3 million or 30% lower than a year ago quarter. The operating mineral expenses dropped 35% to 1 million in the second quarter 2014 from the second quarter of ’13. Second quarter’s general and administrative costs were 2.2 million, slightly higher than the second quarter of ’13, due largely to non-cash stock compensation offsetting lower cash payroll. Second quarter net loss was $3.1 million was 25% lower than the second quarter of 2013 while the net loss per share was $0.13 compared to $0.21 respectively. With that I’ll turn it back to Chris.
Chris Jones: Thanks Jeff. We have completed two of four Technical Reports compliant with National Instrument 43-101 standards. Work is progressing on the Roca Honda and Churchrock Technical Reports by our staff and external independent qualified persons. In the second half of the year, we expect to announce a rollout schedule for additional Technical Reports for our other projects. We are also working hard on further reducing the cash burn rate to $100 million per month on a consistent sustainable basis, and we have closed the books on July at under $100 million for operating and mineral property expenses and G&A. We believe there are opportunities in the slow uranium price environment to add to our asset base and frequently review opportunities for value accretive additions and new operating and processing agreements. Turning to slide 13, we have brief comments about the uranium market. Uranium market spot price pushed over $29 per pound this week while the term price is around $44 per pound. The prevailing weakness in uranium prices is believed to be due excess secondary supply from enrichment facilities selling into the spot market. We shared the view of several uranium analysts that the restart of the first 48 idled reactors in Japan could be an important catalyst to bolster the uranium market. Over the medium term, we see an impending decrease in demand from the ramp up of new reactors in China, and elsewhere in the world, and further mine supply contraction from the continued low price environment and the exploration of sales contracts which have served as a hit allowing high cost production to continue in weak spot markets. Our staff has made great strides at our operations from the completion of the pond restoration project and the efficient capping of old wells to overall savings and maintaining our Texas facilities, so that we are in a position to resume production when we see a sustained stronger uranium market. We will be fiscally prudent in building value on our Company as we believe there is a bright future for Uranium Resources to become the leading U.S. uranium producer. Operator, we are ready for questions.
Operator: (Operator Instructions) First question today is from Joseph Reagor of ROTH Capital Partners. Please go ahead.
Joseph Reagor - ROTH Capital Partners: Couple of quick questions for you. I guess first one being thinking about if the uranium price were to recover, what pricing level do you guys need to restart the Texas assets?
Chris Jones: Thanks Joe and thanks for calling so early in your day, West Coast time. Pricing level, we’ll be interested in the price level for which we consider a restart really starts with two concepts; one, we need a spot price in the low 40s and that gives us that required 10% of safety margin in our costs; secondly, Joe, we need to trend to support that so that once we start up we can continually produce at a profit.
Joseph Reagor - ROTH Capital Partners: Okay. And then bigger picture long term, what would be the order in the queue of projects based on what you know today for bringing them into production beyond the Texas assets?
Chris Jones: As you know we have three tranches of plans, we have our South Texas assets, which we can start up with just a number six to nine months' notice, in the three to five year time frame we have our Churchrock property in New Mexico and then in the eight year time frame is when we really see Juan Tafoya and Seboyata available and ready for productions.
Joseph Reagor - ROTH Capital Partners: Okay. And then on Churchrock I saw the release on the Navajo resending their previous decision and I don’t know that was an effect to today because you’re not in a process of trying to permit and bring it forward but can you give us any additional color on how you’re going to work with them going forward in order to eventually bring that project into production?
Chris Jones: Just a quick note on the actual vote on July 22nd the Novoja Nation determined that they had illegally formed the committee and that’s what that vote was about. And being is that what occurred on July 22nd we have not yet enabled a dialog with Novoja Nation on what exactly that (feat) [ph] is. Remember that it didn’t affect our access and the Churchrock facility is permitted.
Joseph Reagor - ROTH Capital Partners: Okay. So it sounds like in general it’s not a major issue, it's just them working out their politics?
Chris Jones: I think that’s accurate Joe.
Joseph Reagor - ROTH Capital Partners: Okay. And then are there any other 43-101 reports we can expect over the remainder of the year beyond the Churchrock 1 by year end?
Chris Jones: Churchrock and Roca Honda you should expect by year end.
Operator: (Operator Instructions) The next question is from Bryan Bergin of Cowen & Company. Please go ahead.
Bryan Bergin - Cowen & Company: Chris or Jeff, how do you think about liquidity as you go into 2015? And if you can comment on options there as far the remainder on ATM agreement?
Jeff Vigil: Obviously, we’re in good condition through mid-2015. But we certainly will be looking at additional equity raises over the next six to 12 months. And as far as the ATM we approach the ATM with a certainly disciplined approach and I get this as I sit here I wouldn’t be able to predict the exactly amount of dollars we’re looking for from that it’s very it’s very -- depends upon the status of the markets and again a very disciplined process from the Board level down and so when we use that.
Bryan Bergin - Cowen & Company: Okay. Does the 1 million burn rate that's being target, does that include the cost of those two technical reports that are expected for by the end of the year?
Chris Jones: Joe, this is Chris. Yes, you bet, it is included.
Bryan Bergin - Cowen & Company: Okay, great. And then last one for Chris, just as far as the processing agreements and potential accretive acquisition, can you just provide a little bit more color on that whether there are active discussions [indiscernible] have quiet down somewhat in the current environment?
Chris Jones: With regard to processing and other agreements, I can’t speak to any new conversations for certain but the overall color I would give you is in a depressed market for uranium pricing, properties come out to attention at reasonable prices that are worth examining on any one of three or four different bases whether it’s an outright process, whether it’s a processing agreement with them or a joint venture or whatever. And we’re active in the marketplace Bryan.
Operator: The next question is from Daniel Mosio, an independent investor. Please go ahead.
Unidentified Analyst: Thank you for taking my question. I was just hoping to follow up on the last comment about properties come up for sale. I look at the current spot price and think about obviously the potential move up to a $40 spot price being something like 30% return and I am curious if you ever think about how to balance just exclusive spot purchases of product for warehousing grosses you know the need to purchase properties for production, understanding that you’re not a trading business you are an uranium production business. But just how to think about kind of the calculus there if that makes sense?
Chris Jones: Daniel, this is Chris. And we haven’t contemplated trading or brokering uranium at this point. When you think about that business model what it takes is a fair amount of cash, surplus cash that you’re going to tie up for some period of time. (However) [ph] the expertise really isn’t developing and producing from properties and we’re probably going to stick our (knitting there) [ph].
Operator: There are no more questions at this time. I’ll turn the conference back over to Mr. Jones for closing remarks.
Chris Jones: Thank you. Ladies and gentlemen thank you for allowing us to provide you with an update on Uranium Resources. Have a great day.
Operator: Ladies and gentlemen, this concludes today’s conference call. You may now disconnect your lines. Thank you for participating and have a pleasant day.